Operator: Thank you for standing by. My name is Mandeep, and I'll be your operator today. At this time, I'd like to welcome everyone to the ChromaDex Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to Ben Shamsian, Investor Relations. You may begin.
Ben Shamsian: Thank you. Good afternoon, and welcome to ChromaDex Corporation's third quarter of 2024 results investor call. With us today are ChromaDex's Chief Executive Officer, Rob Fried; Chief Financial Officer, Ozan Pamir; and Senior Vice President of Scientific and Regulatory Affairs, Dr. Andrew Shao. Dr. Shao will join the call for Q&A. Today's conference call may include forward-looking statements including statements related to ChromaDex's research and development and clinical trial plans and the timing and results of such trials, the timing of future regulatory filings, the expansion of sales of Niagen products and ingredients in new markets, business development opportunities, future financial results, cash needs, operating performance, the investor interest, and business prospects and opportunities as well as anticipated results of operations. Forward-looking statements represent only the company's estimates on the date of this conference call and are not intended to give any assurance as to the actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could cause ChromaDex's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These Risk Factors include those contained in ChromaDex's quarterly report on Form 10-Q most recently filed with the SEC, including results of operations, financial condition, cash flows, as well as global market and economic conditions on our business. Please note that the company assumes no obligation to update any forward-looking statements after the date of this conference call to conform with the forward-looking statements, actual results or to changes in its expectations. In addition, certain financial information presented in this call references non-GAAP financial measures. The company's earnings presentation and earnings press release, which were issued this afternoon and are available on the company's website, present reconciliations to the appropriate GAAP measures. Finally, this conference call is being recorded via webcast. The webcast will be available at the Investor Relations section of our website at www.chromadex.com. With that, now it's my pleasure to turn the call over to our Chief Executive Officer, Rob Fried.
Rob Fried: Thank you, Ben, and good afternoon, everyone. I thank you for joining today's investor call. I am quite pleased to share that in the third quarter, we achieved record results on both our top-line and our bottom line with $25.6 million in revenue, a 31% increase year-over-year and net income of $1.9 million. This quarter also marks our sixth consecutive quarter of positive adjusted EBITDA, reaching $2.9 million, and we generated total positive cash flow of $5.1 million. We ended the quarter with $32.4 million in cash and no debt. This quarter's financial results highlight our unyielding dedication to maintaining fiscal discipline and achieving profitable growth, while still advancing our key business initiatives. The record sales this quarter were driven primarily by growth in our e-commerce business as well as the Niagen ingredient business, which included this quarter, initial sales of our pharmaceutical grade Niagen to selected clinics debuting Niagen Plus or Niagen IV, at $14.8 million for the third quarter, and representing a 16% growth year-over-year. E-commerce continues to be a cornerstone of our total business. In contrast with the second quarter, where e-commerce growth was stable year-over-year, the third quarter reflected stronger trends on Amazon as well as our own website. On Amazon, we saw sustained growth following Prime Day in July. This growth was fueled by refreshed marketing efforts to reinforce TRU Niagen's position as the top NAD boosting supplement. Additionally, we were encouraged to see that Amazon had taken steps to address the emergence of brands that offered and promoted NAD boosting products that did not live up to their claims to say the least. On our own website, we are seeing improvements from our marketing efforts to better drive brand awareness effectively through PR as well as influencer marketing to better engage with customers through refreshed social media content and to improve conversion through competitive messaging and performance marketing. More recently, our team has completed a migration to an updated web platform along with the redesign of our own website with a refreshed take on educating the consumer of the company's commitment to product excellence as well as the company's 25 years of innovation and scientific advancements in NAD research. As we continue to represent the gold standard in scientific and professional superiority in the NAD industry, our marketing efforts will continue to focus on optimizing brand and product awareness through influencer and social media marketing as well as optimizing conversion and retention strategy to drive long-term customer value. Watsons remains a valued strategic partner providing steady recurring revenue with occasional quarterly fluctuations. Watson sell-through to direct customers have remained steady year-over-year during an unfortunate time where the Hong Kong retail market is experiencing an overall decline. While this had an impact on the third quarter with the decline in sales year-over-year and may have an impact on our sales to Watsons for the full year, we are actively collaborating with them on different marketing initiatives to close the year and into next year, including better leveraging YouTube and social media messaging, KOL and consumer testimonials to promote new customer acquisition and utilize and personalized messaging to retain newly acquired customers. This quarter, we launched our Niagen Plus product line, introducing Niagen IV and injections at select clinics through the Wells Pharmacy Network. Since then, we have rapidly expanded the availability of Niagen Plus and have now shipped to over 100 clinics to-date. In the coming weeks, we expect to greatly expand the reach of Niagen Plus expecting to be in over 300 clinics in just the next few weeks. The launch indicates that consumer awareness of NAD supplementation benefits is growing. There was a recent New York Post article reported that celebrities such as Jennifer Aniston, Kendall Jenner and Hailey Bieber, are turning to NAD IV therapies for longevity benefits. The article also highlighted that NAD supplementation is gaining traction amongst celebrities and in health-conscious consumers, much like the trends we've seen in other areas such as GLP-1. Another publication released last week in Forbes Magazine recently spotlighted Niagen IV Drip in particular, as a premier treatment to boosting NAD offering shorter session times, enhance comfort, and higher resulting NAD levels than traditional NAD IV therapies. As a leader in the NAD space, we are confident that Niagen IV will set a new standard in NAD IV therapy and will advance our goal for Niagen to become a household name. In prior earnings calls, I shared that the U.S. FDA had granted orphan drug designation and rare pediatric disease designation for nicotinamide riboside as a candidate for treatment of ataxia telangiectasia, or AT. In September, ChromaDex initiated communication with the FDA and is working now to organize meetings as part of the company's effort to pursue an investigational new drug IND application for the use of NR in the treatment of AT. Additionally, last quarter, I discussed updates around the NO-PARK study, which we will still expect to be completed within the first half of next year. While there is not much detail we are allowed to share publicly, we are in consistent dialogue with the investigators from Haukeland University Hospital on the progress of this important Parkinson's study. We look forward to sharing more updates in the near future as we go through the process. As many of you know, in September, we announced that Ozan Pamir has been appointed as ChromaDex's new Chief Financial Officer. I'd like to first thank James Lee, our Controller, who is resuming that role as a Controller for his steady and impressive leadership during this period in managing our financial operations during this transition. We're very proud of James and are excited to be working with him for many, many years to come. I would also like to acknowledge our VP of Finance, Wesley Yu, who has also done an exceptional job in helping us to manage our finance and strategy departments especially during this transition period. Between the two, we did not miss a beat, and I am quite proud to see our team members' rise to the occasion. It is a testament to the exceptional talent we have at ChromaDex. Now, I would like to introduce Ozan, who you will hear from shortly. With six years as Chief Financial Officer at 180 Life Sciences, a publicly traded biotech firm, Ozan brings valuable experience; including overseeing the company's NASDAQ listing leading multiple funding rounds. Ozan will be instrumental in guiding ChromaDex through this pivotal phase of growth by reinforcing our financial discipline, strengthening our business operations for profitable expansion and enhancing internal capabilities with his insights and expertise. I am excited for him to spearhead our efforts in the pharma space as well as to take over responsibility for the Investor Relations. I very much look forward to the positive impact he will have on our organization. To-date, we've made significant progress towards sustainable profitable growth as we have been saying for several years. We have continued advancements in our innovation pipeline as well. As ChromaDex celebrates 25 years of innovation and pioneering NAD research, I'm grateful to reflect on how far we have come. Looking ahead, I'm confident in the strong foundation we've established and the moment building toward accelerated growth in 2025. While we are not yet ready to provide an outlook for 2025, I believe, we are very well-positioned as the global authority of NAD science and as a paragon of the NAD industry to make Niagen a household name. And I would now like to hand over the call to Ozan to run through the quarter's financials in more detail and then on to Q&A and closing remarks. Ozan?
Ozan Pamir: Thank you, Rob. It is a pleasure to be introduced to our investors, partners, and team members who have joined today. As Rob mentioned, I've spent the last six years of my career as the CFO of a NASDAQ listed Biotech Company following a career in investment banking where my focus was on life sciences companies. I joined ChromaDex because of the opportunities that are provided by the unparalleled science we have. The company is at a unique inflection point where the core business provides a stable foundation for growth, and we are presented with a significant market potential through the pursuit of the new verticals. I'm excited by the opportunity to help lead ChromaDex in its next phase of growth through strategic plans to expand into the pharmaceutical sector. My focus will be on strengthening our financial discipline and optimizing operations to ensure sustainable long-term value for our shareholders as we move forward in this promising new chapter. My immediate objective as CFO is to look across the company's business operations and to leverage my experience and expertise to strengthen the fiscal discipline already in place and to advance the company's financial position in addition to strengthening the company's relationships with the investment community through Investor Relations efforts. I will also be focused on helping the company evaluate and pursue strategic entry points into the pharmaceutical industry. As we announced last month, following Marcum LLP's merger with CBIZ, Marcum stepped down as our auditor to comply with independence requirements. While we thank them for their services in the last 10-plus years, one of my first initiatives as CFO of ChromaDex is to facilitate the appointment of a new audit firm that will be suitable for the next phase of growth at ChromaDex. Beyond these objectives, I'm encouraged by the leadership I have seen at ChromaDex, and I'm committed to upholding the operational efficiency and financial discipline that have been key to ChromaDex's success, which are highlighted in this most recent quarter. I agree with Rob and believe that ChromaDex has a strong foundational team in place to continue its momentum. Now, moving on to our third quarter financial performance. Total net sales in the third quarter of 2024 were $25.6 million, a significant 31% or a $6.1 million increase compared to the third quarter of 2023. This growth was primarily driven by an impressive 368% or $5.2 million increase in Niagen ingredient sales with $4.3 million in higher sales of food-grade Niagen to key partners and initial sales of our pharma-grade Niagen to select clinics. Additionally, the Tru Niagen sales grew by $0.7 million as 16% growth in e-commerce sales were partially offset by a decline in Watsons and other B2B sales. Our gross margins improved to 63.5%, up 210 basis points, compared to 61.4% in the third quarter of 2023. This increase was driven by changes in our product mix, including benefits from the launch of pharmaceutical-grade Niagen and the recognition of deferred revenue and improvements in labor and overhead utilization rates with higher sales. We continue to demonstrate strong operational efficiency and cost management. The selling and marketing expenses as a percentage of net sales improved to 27.5%, compared to 31% in the third quarter of 2023. This reflects our ongoing efforts to strategically scale sales and marketing investments while achieving higher returns. Research and development expenses remained stable year-over-year as we continue to focus on advancing innovations and investing in the development of new NAD precursors. General and administrative expenses increased by $0.5 million compared to the previous year due to higher legal expenses to support our Niagen Plus or Niagen IV launch and patent defense litigation. For the third quarter of 2024, our operating income was $1.6 million versus $1.1 million loss in the third quarter of 2023, which is an improvement of $2.7 million, driven by higher net sales and gross margin improvements and partially offset by increased operating expenses. The net income attributable to common stockholders for the third quarter of 2024 was $1.9 million or net income of $0.02 per share, a meaningful improvement compared to the net loss of $1 million and a loss of $0.01 per share for the third quarter of 2023. Moving on to the balance sheet and cash flow. Our balance sheet continues to strengthen. We ended the quarter with $32.4 million in cash and no debt. For the nine months ended September 30, 2024, net cash provided by operations was $3.5 million, compared to $6.5 million in the same period last year. The difference year-over-year was largely driven by changes in working capital with a relatively greater increase in trade receivables, a greater reduction in accounts payable and accrued expenses and lower provisions for credit losses, partially offset by a $6.4 million improvement in net income. As it relates to our 2024 full year P&L outlook, detailed information on key financial metrics can be found in our earnings press release and accompanying slide presentation. At this point in the year, the only adjustment to our expectations is to our top-line. Previously, our outlook for net sales growth included a range from 10% to 15% year-over-year growth. At this time, we expect approximately 15% year-over-year growth. This updated outlook represents growth driven by our global e-commerce business, new and existing partnerships and upside realized by the launch of Niagen IV. Beyond these adjustments, our key metrics remain consistent with last quarter's outlook. We continue to expect strong and steady gross margins with a slight improvement over the prior year's 60.8%. We plan to make investments in sales and marketing during the fourth quarter to support the Niagen IV launch, while maintaining similar efficiencies and to increase research and development investments to support our core strategic initiatives. In summary, I'm encouraged by our exceptional financial performance this quarter and year-to-date, and I'm grateful for the opportunity to be a leader in this organization to continue making advancements in our strategic plans. ChromaDex's core business remains solid, generating continued positive operating cash flows and supporting a healthy balance sheet. I am confident that we will continue the discipline and focus to build upon the success thus far towards greater growth, and I look forward to making a positive impact here at ChromaDex for our customers, our business partners, our shareholders, and investors. Operator, we are now ready to take questions.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions]. Our first question comes from the line of Jeff Cohen with Ladenburg Thalmann & Co. Please go ahead.
Jeff Cohen: Hey Rob, how are you? Sorry for the background noise.
Rob Fried: Hi, Jeff.
Ozan Pamir: Hi, Jeff.
Jeff Cohen: So could you talk a little bit about the formulations now, both IV and injectable? And at the -- what I heard was up to 300 clinics now and perhaps 100 now, 300 shortly. Could you walk us through the dosages or SKUs out there that are available?
Rob Fried: Right, it's in 100 clinics today, and we expect it to be in about 300 within the next few weeks, and we expect it to continue to grow beyond that. The interest in Niagen Plus is very strong so far, and it was a major factor, probably the major factor in the performance of the quarter -- in the third quarter, and we expect it to continue beyond the third quarter. Most people who are going in for -- into the clinics for Niagen IV are getting 500 milligrams. It's taking them generally 15 to 20 minutes to ingest that as opposed to 2 to 3 hours if they were getting an NAD IV. We also offer an injection and the people who are going in and getting the shots are getting, in most cases, 100 milligrams, but they could also get 50 milligrams. The injection SKU is growing, I would say, growing at a more rapid rate, although both are growing and are quite popular. Did I get it, Jeff?
Jeff Cohen: Yes, that was perfect. And just one more, if I could just slip it in and welcome Ozan and I guess this one's for you. You talked about this $5.1 million of cash production for the quarter. And then I followed you down to the $3.2 million for the nine months, and then you spoke about the payables and some credit. And then I heard $6.4 million something else. Could you just clarify what that was?
Ozan Pamir: Can you remind me like which numbers you heard?
Jeff Cohen: You're walking through you...
Ozan Pamir: You just heard, I guess, right?
Jeff Cohen: Yes. The payables and the $6.4 million for the quarter. What was that? Yes.
Ozan Pamir: That was just the improvement we had in the net income, the $6.4 million. So we had -- the cash provided by operations was $3.5 million, we had -- last year, we had $6.5 million, so I was kind of talking through the difference. And the breakdown of that was an increase in trade receivables, a reduction in accounts payable and accrued expenses, and we have lower provision for credit losses and that was all offset by a $6.4 million improvement in net income.
Jeff Cohen: Okay. Perfect. That does it for me. And then one more, Rob, could you talk about AT and how that may proceed through 2025?
Rob Fried: Can you ask it again, Jeff?
Jeff Cohen: Can you talk about the ataxia orphan indication and what we may look forward to and see during the balance of this year or 2025?
Rob Fried: We're having -- we've been having conversations with the FDA. We hope to get their notes on our pre-IND submission within a month. And until then, we don't really know what their notes are on our application. Hopefully, they'll be minimal, and we'll be able to pursue the IND and then get moving on the study in 2025.
Jeff Cohen: Perfect. That does it for us. Sorry for the static. Thanks again. Nice quarter.
Rob Fried: No problem. Thanks, Jeff. Thank you.
Operator: Our next question comes from the line of Raghuram Selvaraju with H.C. Wainwright. Please go ahead.
Edward Marks: Hi, this is Edward calling on behalf of Raghuram. I was curious what's the pricing like for a single dose of Niagen. And I wanted to clarify that the sales for Niagen were included in the e-commerce section or which one specifically in the B2B segment of sales?
Rob Fried: Hi Edward, I just want to be clear about the question you're asking. Are you asking about the IV?
Edward Marks: Correct. The IV and the plus.
Rob Fried: Okay. So we -- what we refer to as Niagen Plus is the Niagen IV product, the Niagen injection product as well as the NAD test kit, all of these three products are available at clinics. The Niagen IV is generally 500 milligrams. Our compounding pharmacy partner sends 500 milligrams in vials, and then they are offered at the clinic level in 500 milligram doses, and the pricing of that is up to the clinic. What we've observed is that they are generally charging between $500 and $700 per session.
Edward Marks: Okay. That's really helpful. And were the current sales that you reported now, in what category were the Niagen Plus in?
Rob Fried: Those sales are under ingredient and they're listed as pharmaceutical grade.
Edward Marks: Okay, pharmaceutical grade Niagen, got it, got it. And just one other follow-up there. How do you see the potential improvements? You guys had a great improvement in the margins already. Do you see further improvements or the likelihood of that growing through 2025?
Rob Fried: So these margins -- these gross margins, I think you're referring to that are they fluctuate depend on the mix of revenue. So certain segments of our business have higher gross margins than others. We've indicated that the new Niagen Plus initiative has higher gross margins than the company overall. So we think that as Niagen Plus grows, that will have a positive impact on gross margins. But Niagen ingredient generally and any retail -- physical retail sales generally has downward pressure on the gross margins. So we see gross margins for the foreseeable future being around the range that it's in right now.
Edward Marks: Got it. Thanks. That’s really helpful. Those are all my questions.
Rob Fried: Thank you.
Operator: Our next question comes from the line of Bill Dezellem with Tieton Capital Management. Please go ahead.
Bill Dezellem: Thank you. Congratulations on a nice quarter. What -- when you look at the clinics, what is the biggest governor or a restraint on growing the number of clinics that you are in?
Rob Fried: We think that there are approximately 3,000 clinics in the United States. Some of those are IV hydration clinics. Some of them are anti-aging clinics, wellness clinics, beauty clinics. There are many different types of clinics that could theoretically offer a Niagen Plus product. So there's quite a lot of addressable market out there for us to go after. In terms of restraint, the only real restraint we have at this point is supply of material.
Bill Dezellem: And that, that would be basically out on Grace's shoulders to make more?
Rob Fried: Actually, no. We don't source it from Grace. We source it from a pharmaceutical, a different manufacturer. But it's been difficult to make it. It's a completely different -- really a different ingredient. It's a pharmaceutical-grade Niagen. It's taken us years to get to this place. But we expect within -- we've already been able to deliver a fair amount of product. And in the coming weeks and months, we think there'll be much more, but it does take a while to go through the testing and sterilization processes to be pharmaceutical grade and FDA approved. And as you've probably come to know with ChromaDex over the years since you've been with us for a while, we are highly, highly conservative in our quality controls, and we take our time in doing really whatever we do, but especially with the ingredients and the products that we make.
Bill Dezellem: Great. Thank you. And then, as you look at the early response from patients that have been receiving doses from the clinics, how are they responding to the Niagen number one? And number two, do they tend to be converts from the NAD IV? Or are they truly new to the -- tend to be new to the concept?
Rob Fried: That's a good question. So we've only been in the market now for a couple of months. So the majority of the consumers thus far have been converts from NAD. These are people who are used to going in for an NAD infusion. And of course, every one of them are absolutely ecstatic because they're used to taking hours to get the NAD infusion. They're used to very serious stomach pains and sweats and headaches, none of which happens with Niagen IV and the resultant NAD levels are much higher with Niagen IV. So they're having an extremely positive experience relative to what they're used to. But lately, in the last several months, and this is largely because of the Niagen IV initiative, there's been a great deal of press around NAD in general. So there's a great deal of curiosity in the marketplace about Niagen and NAD. So we are seeing an increase in the number of new consumers going into these clinics endeavoring to try a Niagen IV or a Niagen shot. But again, we've only been out there two months and it's early, but that's our experience thus far.
Bill Dezellem: That's helpful. And if I may, relative to 2025, would it be a correct directional supposition that the growth in 2025 should be higher than the growth in 2024, simply due to the new relationships that you've had or brought on in 2024 that you'll get a full year's benefit from and secondarily, that you will have IV clinics for a full year compared to only a small portion of this year?
Rob Fried: We're still just assessing the market and the demand. As I said, it's only been two months out there. So we're not yet providing any kind of forecast for 2025. I understand the logic behind your thinking, but it's too early for us to say.
Bill Dezellem: I thought I'd give you an opportunity anyhow. Thank you very much, and again a great quarter.
Rob Fried: Thank you, Bill.
Operator: Our next question comes from the line of Sean McGowan with ROTH MKM Partners. Please go ahead.
Sean McGowan: Thank you. Good to talk to you again, Rob, and nice to meet you by phone, Ozan, before meeting you in-person. My first question is really asking for some clarification on the breakdown that you now provide on food-grade Niagen and pharmaceutical-grade Niagen as opposed to consumer product. I think Rob; you said that the major contributing factor to the growth in the quarter was the pharma grade. But that -- according to the 10-Q, that's only providing like $900,000 of incremental revenue where it looks like the food-grade Niagen is up a lot, a lot more than that. So is there something in the food-grade Niagen that's related to the pharmaceutical?
Rob Fried: So as I have said over the last, really, year, we had this new vertical, the new vertical is Niagen Plus and the premier product in Niagen Plus is Niagen IV and that we view Niagen IV as more than just a P&L business vertical, we also see it as a marketing strategy. Many of the people that are getting -- we're getting NAD IV and are gradually switching over to Niagen IV are influencers. People have large followings on social media or who talk to the press or our athletes or celebrities or biohackers, people who have podcasts. So we see Niagen IV as not only a business but a strategic marketing initiative that has a halo effect on Tru Niagen. And we're already seeing that play out. So what I meant by that was one of the main reasons why sales in our e-commerce business is increasing is because of the attention that we're getting via Niagen IV.
Sean McGowan: Okay. I get that. That makes sense. And then the actual line of food-grade Niagen is up $4.3 million or something. Is that like Nestle or is that something unrelated to the consumer product?
Rob Fried: So as we said in previous quarters, one of our customers earlier in the year initiated an Amazon sales strategy and they are selling the Niagen in combination with other ingredients on Amazon and other places and their sales are excellent. It is cannibalizing our business to a certain extent. But they're good partners, and it's a healthy business for us, and they're contributing to awareness of Niagen and NAD in general, so we continue to supply to them. But that is why Niagen food-grade ingredient sales are up.
Sean McGowan: Okay. Okay. That makes sense. And then, just one more, when you talk about the dosage on Niagen Plus at 500 milligrams, how would 500 milligrams in that form could compare to the dosages that are in the Tru Niagen capsules in terms of the impact on the body?
Rob Fried: Right. Well, the -- our scientists are still studying over a few months what the long-term differential is. So I'm going to wait a quarter before I give data on that comparison. But what you have to understand is that when you swallow the capsules, it goes through the gut and then it goes to the liver, and it delivers a relatively small amount of pure NR into the bloodstream, which we have proven gets taken up into the cells and crosses the blood-brain barrier and gets into the organs and is effective. And from all the studies we published you see has therapeutic and prophylactic benefits. But when you get it directly into the bloodstream, not pure pharmaceutical-grade sterilized Niagen; it has many times the potency of that dose. And we've seen that in the one published study that we've put out there on comparing Niagen IV to NAD IV extremely high levels of NAD in the bloodstream within 2 hours of Niagen IV. But we don't yet have data to share comparing Niagen IV to Tru Niagen capsules.
Sean McGowan: And will you be able to make that a part of the marketing of Niagen Plus when you do have that data?
Rob Fried: We intend to.
Sean McGowan: Great. Okay. Thank you very much. Look forward to talk to you again.
Rob Fried: Thank you.
Operator: Our next question comes from the line of J.P. Mark with Farmhouse Equity Research. Please go ahead.
J.P. Mark: Hi, Rob, congratulations, great quarter. And also, I would like to say welcome to Ozan, nice to meet you. One quick question about addressable market in the Wellness Clinic area. I know in your press release, you talked about 100 clinics that are so far expanded to the availability at. But how many total clinics do you think are out there? Is it -- I was looking at some numbers 20,000, maybe it's 30,000, I have no idea, but roughly sort of how large a market in the U.S. alone do you think it is?
Rob Fried: We estimate the addressable market for clinics that deliver IV to be around 3,000.
J.P. Mark: Okay. So we actually do that kind of work. There are obviously a lot of clinics that won't do it, right? That's 3,000, that's the U.S. alone. And then you look at other markets outside of that or not, other countries…
Rob Fried: We are getting many, many phone calls -- I'm sorry, go ahead. Are you finished?
J.P. Mark: Yes.
Rob Fried: We're -- I'm sorry, go ahead.
J.P. Mark: I didn't say anything. I'm not sure whether it's you…
Rob Fried: Okay. Got it. As I'm hearing some. We are -- there is quite a bit of interest, a great deal of interest outside of the U.S. We are navigating our way through regulatory approvals and making sure as we do everything we do is regulatory approved and making sure that when we transfer across border into those countries, we are following the rules and doing it safely and appropriately. So it may take a little time before we emerge in other countries with Niagen Plus.
Operator: That concludes today's Q&A session. I would now like to turn the call over to Wesley Yu for closing remarks.
Wesley Yu: Thank you, Mandeep. There will be a replay of this call beginning at 7:30 p.m. Eastern Time today. The replay number is 1 (800) 770-2030 and the replay ID is 8584242. Thank you, everyone, for joining us today and for your continued support of ChromaDex.
Operator: This concludes today's call. You may now disconnect.